Operator: Good afternoon, ladies and gentlemen and welcome to the conference call of Intesa Sanpaolo for the presentation of the First Half '25 results hosted today by Mr. Carlo Messina, Chief Executive Officer. My name is Sarah, and I will be your coordinator for today's conference. At the end of the presentation, there will be a Q&A session. [Operator Instructions] I remind you that today's conference is being recorded. At this time, I would like to hand the call over to Mr. Carlo Messina, CEO. Sir, you may begin.
Carlo Messina: Welcome to our First Half 2025 results conference call. This is Carlo Messina, Chief Executive Officer; and I am here with Luca Bocca, our CFO; and Marco Delfrate and Andrea Tamagnini, Investor Relations Officers. We are navigating the current geopolitical uncertainty from a position of strength, thanks to our resilient and well-balanced business model. In fact, we just delivered our best ever 6-month net income at EUR 5.2 billion. That means a return on equity of 20%. So return on equity of 20%, 24% on tangible. Earnings per share grew 12% on a yearly basis. Net income in the second quarter were also the best ever at EUR 2.6 billion. These top-notch results are marked by record high commissions and insurance income. And net interest income grew strongly in the second quarter even as rates declined, and we continue to manage revenues in an integrated manner. I want to stress that the Italian economy continues to show strong resilience. Italian SMEs are much stronger and public and EU driven investments are supporting growth that we are ready to finance. Looking ahead, we are upgrading our 2025 net income guidance to well above EUR 9 billion, including Q4 managerial actions to strengthen future profitability. Intesa Sanpaolo offers one of the highest shareholder return in Europe. This year, we will distribute no less than EUR 8.2 billion, considering the over EUR 3 billion final dividend pay in May. The EUR 2 billion buyback launched in June and EUR 3.2 billion interim dividend to be paid in November. An additional capital distribution will be quantified at the end of the year, in line with our practice. Costs are down. Asset quality remains top notch. We confirmed our best-in-class capital generation capabilities and customer financial assets grew EUR 37 billion on a yearly basis, of which EUR 12 billion in Q2. We are delivering strong internal synergies by adding risks related to acquisitions. I'm proud of these results and thank our people for their excellent contribution. Let me underline that our strong profitability allow us to continue holding a world-class position in social impact to fight poverty and reduce inequalities. Now let's turn to Slide 1 for the key achievements of the first 6 months. Slide 1. In the first half, we delivered record high net income and revenues. Lowest-ever cost income ratio, NPL ratios at historical lows strong growth in common equity ratio and high increasing and sustainable value creation. Slide 2 -- in this slide, you can see the strong and continuous increase in net income that has more than doubled in 5 years. Slide #3. In the half, we delivered a significant and sustainable increase in return on equity, earnings per share, dividend per share and tangible book value per share. Slide 4 -- thanks to our excellent 6 months performance, we are in a comfortable position to upgrade the 2025 net income to well above EUR 9 billion, including Q4 managerial actions to strengthen future profitability. Moreover, we clearly have significant excess capital, giving us a lot of flexibility for future additional distributions. Slide #5, our performance allow us to benefit all our stakeholders and strongly support the fight against poverty in qualities. In the first half, families and businesses received EUR 42 billion in new medium/long-term lending, up 44% in Italy on a yearly basis. Let's now move to Slide 7 for more details on our first half results. Slide 7. In a nutshell, net income was up 9% in the first 6 months, and we accrued EUR 3.7 billion in cash dividends. Slide 8, this slide shows the building blocks of the first half P&L with improved results across nearly all items. Please turn to the next slide for a look at our second quarter results. Slide 9. Very briefly, in the second quarter, net interest income grew 5% quarterly revenues reached a record high with non-motor P&C revenues up 15% on a yearly basis. Net income was the best Q2 result ever, up 6% versus the same quarter last year. Slide #10. In the first half, revenues were up despite the strong decline in market interest rates, thanks to our well-diversified and resilient business model. Slide 11. Net interest income was very resilient in the first half, and we raised our guidance for this year to a level well above 2023 with further growth expected next year. Also thanks to the contribution from core deposits hedging. Slide #12. In this slide, you can also see the quarter-on-quarter increase in net interest income despite the further reduction in Euribor. The growth drivers are the spread component that includes -- that includes the contribution from core deposit hedging, the financial components mainly driven by the higher contribution from the securities portfolio and the volume component that also benefited from the growth in loan volume in the quarter. Slide #13. Customer financial assets were up strongly on a yearly and quarterly basis. In the quarter, we had more than EUR 6 billion growth in assets under management despite the market volatility due to tariffs, and we can count on our unmatched client advisory network to drive future growth. Over EUR 900 billion in direct deposits and assets under administration are already fueling our wealth management protection and advisory businesses. Let's now move to Slide 14. In the first 6 months, commissions were up 5% yearly with a 9% growth in wealth management and protection. Our fully owned product factories are a clear competitive advantage and our top-notch advisory services are stabiliser for the end of market volatility on fees. With over 30% growth in related additional Commissions. Please turn to the next slide for a closer look at Insurance income. Slide 15, non-motor P&C contribution was the main driver for insurance income growth. We still have significant upside potential with both individuals and corporate clients. Slide 16, the contribution from Commissions and Insurance income to revenues is by far the highest in Europe after UBS. Please turn to Slide 17. The cost/income ratio was the best ever at 38%. So please turn to Slide 18 for a closer look at the breakdown of costs. Operating costs were down despite the impact of the national labour contract renewal and depreciation linked to tech investments. Personnel costs decreased 1%, administrative costs 0.7%. We achieved an almost 3,400 headcount reduction in the first half of the year. Slide 19, we have high flexibility to further reduce costs, thanks to our tech transformation. By 2027, we will have 9,000 exits with savings of EUR 500 million. 9,000 exits are equal to the ones deriving from the UBI merger. Slide 20, we have best-in-class Cost/ Income ratio in Europe. And now let's move to Slide 21 for a look at our asset quality. Slide 21. Asset quality remained excellent. Inflows are at historical loans and NPL stocks further declined in the quarter. Slide 22, our NPL stock and ratios are clearly among the best in Europe. Slide 23. As you can see, we are also very well positioned in terms of Stage 2. Slide 24. Our annualized cost of risk is just 24 basis points with no overlays released NPL coverage ratio at 50%. We see no signs of asset quality deterioration. Slide 25 after quarter-by-quarter, we keep reducing our Russia exposure down to less than 0.1% of the group's total loans, with local loans close to 0. Slide 26 for an update on capital. In the first half, the common equity ratio increased by 65 basis points to 13.5% and will increase further in the coming quarters. In the next 3 slides, you have the usual update on our sound liquidity position and ESG actions with additional slides on our leading ESG position in the appendix. But let's move to Slide 31 to see how ISP is fully equipped to succeed in any scenario. Slide 31. Our profitability and capital position remains strong even in adverse conditions. We have a very resilient and efficient business model, and we have already deployed EUR 4.6 billion in tech investments, including artificial intelligence. Key enablers for future and further efficiency gains. Our net NPL stock is just EUR 4.9 billion, and we can count on EUR 900 million in overlays. Last, but not least, the management team has a strong track record in delivering results. Slide 32. Intesa Sanpaolo stands out in Europe across key metrics and is better positioned than peers to face any future challenge. Slide 33 in this slide that we share every quarter, you can appreciate our unique positioning, thanks to our commissions driven and efficient business model, supported by strong tech investments. Let's move to Slide 34 for a few words on the strength of the Italian economy. The Italian economy remains resilient, supported by export-oriented and highly diversified companies, a strong banking system, high household wealth and low private debt, employment and activity rates at the highest levels and continued new public investments. So we expect Italian GDP to grow this year and next year. Slide 35. Italian companies are in a stronger position and more resilient to external shocks today compared to the past, even considering tariffs. Their debt-to-equity ratio has decreased over time and their liquidity buffers are at all-time highs. Please turn to Slide 37. This slide offers a recap of our best ever 6 months and the reasons why we are fully equipped to succeed in the future. To finish, please turn to Slide 38 for the outlook. Slide 38. Thanks to our excellent 6 months performance, we are in a comfortable position to upgrade the full year net income guidance to well above EUR 9 billion, including Q4 managerial actions to strengthen future profitability. This is a level we consider fully sustainable in the years ahead. As always, we will continue to manage revenues in an integrated manner, maintaining a strong focus on cost efficiency, asset quality and the sustainability of results. We are delivering one of the highest capital returns and dividend yields in European banking while maintaining the rock solid capital and continuing to lead on social impact. We clearly have strong internal capital generation and excess capital and additional distribution will be determined at year-end. So thank you for your attention. And now we are happy to take your questions.
Operator: [Operator Instructions] We will now start with our first question. This is from Delphine Lee from JPMorgan.
Delphine Lee: My first one is on net interest income, please. Just wanted to understand a little bit what's driving the -- I mean, clearly, you had a very good quarter with more resilient trends. I just wanted to have a bit more color on the improvement in the guidance that you've given of well above '23 level. And then secondly, on fees and commission, so is your target for this year to still grow mid-single digits? If you just wouldn't mind commenting on the underlying moving parts of that as well.
Carlo Messina: So thank you, Delphine. In looking -- starting from net interest income, that is the most important part of the upgrading of our outlook, but not only for 2020, especially for 2026. So we are now working on the new business plan and the preparation of the plan is part of the story that we are starting to create from this quarter in terms of final results for 2025 in order to prepare the new business plan. So in net interest income is the area in which we are continue to have a very good performance in terms of core hedging facilities. So the contribution of core hedging is very positive -- to be very positive, and our expectation is that we remain positive also during 2026. At the same time, we worked in order to optimize the medium-term cost of funding because we had some [indiscernible] during the first quarter, and we didn't replace and our expectation is not to replace this medium-term funding. This has created a condition to have a positive impact on net interest income, and this will remain also for the next -- for the next years. Our expectation is also that looking at the commercial activities, we have recoveries in terms of loan growth. So there is a clear reduction of the competitive pressures coming from this crazy M&A attitude that we had in Italy in the last months. We started again to have growth, especially in terms of new medium-term lending. Then we have some portion of portfolio expiring, but we replaced. So we are starting to have a momentum of growth in terms of loan book portfolio, especially related with the area that are more involved into the next-generation new funds. So it's something that is based on companies in very good -- very positive and good shape. So with a limited impact coming from potential future nonperforming loans. This trend in our expectation will continue also in the next quarters and this can prepare for a further growth in 2026 of the level of net interest income. At the same time, as announced in the first quarter in which we increased the size of the security portfolio, we are now having in this quarter, the first impact of the improved conditions of the security portfolio. You remember that in the last years, we reduced in a significant way the portfolio. So we replaced a portion of the portfolio in this first semester. And so we are also maintaining a good contribution in terms of net income coming from the security portfolio. Our expectation is that if interest rate will remain in the range of average 2%, you're right? But and then with a slight reduction during 2026. So we can continue to have a very good performance and net interest income can continue to be a good contributor to our results. Just a focus on a managerial way of managing that the wealth management of the company. Today, deposits are continue to give a 2%, a very good contribution in terms of markdowns. So with reduction, but we get very good contribution. So we are also looking at the right attention to the conversion of the portion of deposits into wealth management products. We have a selective portion of this deposits, especially term deposit that can be converted. But for the time being, we are also working in terms of maximization of the relation between net interest income and fee and commissions. So moving into fee and commissions, we continue to have a very good performance in terms of wealth management and protection. In April, there has been some turbulence deriving from some announcement from the U.S.A. But starting from May and June, we had a very good recovery. And in terms of gross inflows that is fundamental for our Wealth Management & Protection Activity, we are running above EUR 33 billion per quarter. So our expectation is to go in the range of EUR 35 billion. So to continue to have a very good contribution in terms of fee and commission coming from the Wealth Management & Protection. In this quarter, we had a reduction in terms of contribution from the activity in corporate investment banking that made a very good job in trading income. But some deals were postponed in the third and fourth quarter. So also in the area of corporate and investment banking, we think to have the potential to increase also in the second part of the year. So our expectation is to continue to have a very good trend and maintaining a double-digit growth in terms of fee and commission coming from Wealth Management, Protection & Advisory and all the other commission can stay in low single digits. So on average, we can stay in mid-single digits, that's our expectation for this year. We will see during the next months, but the trend is there. Obviously, during the third quarter, you will have on August, a peak stop in terms of revenues generation due to the fact that clients will be on holidays. But our trend is clear, and our expectation is to have a strong contribution both on net interest income and Net fee and commission.
Operator: We will now take our next question. This is from Marco Nicolai from Jefferies.
Marco Nicolai: Two questions from me. The first one is on the operational levers. So with the end of the current business plan approaching fast, I wanted to know if you had some early thoughts on the main areas you will focus on in view of the next plan. So you're a bank that is delivering a ROTE in the 20% area, very well diversified business, your value is recognized by the market. So in a nutshell, what's next for Intesa -- and then I had the second question on the managerial actions expected in the last quarter of this year. I just wanted to know if you can give us more color on what you have in mind, both in terms of size of these actions and in terms of, let's say, expected return.
Carlo Messina: So thank you for your question. I will start from the managerial action and then I will enter into the operational levers because there are a clear linkage between the managerial actions and the entering in the new business plan. So we are focused and all the investors know that if they want a bank in which they can invest for sustainable return forever, Intesa Sanpaolo is the best option. If you are looking for the short-term yield or maximization of net [indiscernible] Intesa Sanpaolo is not the right choice for you. So we want the result to stay for the next 20 years. And if we have possibility to have as in this case, much net income coming from net interest income from cost and from asset quality, we will devote this extra net income not to improve the outlook and the net income that we can distribute in the short term, but to create conditions for the next 20 years through business plan. So the level of managerial actions will be defined in the next quarter. It is too early to say a real figures, but could be significant. That's our expectation. The area in which we can enter into creation of sustainability, further sustainability for the future are the one in which we will have to focus in the new business plan. What's next for Intesa Sanpaolo next is Intesa Sanpaolo. Sorry to tell you this, but our business model is the right business model also for the next years. We obviously, we work into the possibility, and we have significant internal synergies areas in which we can improve our profitability, but the business model will remain substantially the same, so Wealth Management, Protection, Advisory asset gather. So this is the job of Intesa Sanpaolo. This is the area in which we will continue to have a very good performance with the right mix between net interest income, commissions and insurance income. Then we will continue to have a very good corporate and investment banking team that is the best way to have the perfect hedging for the revenue's trend for the future and technology and digital will remain that the main driver in order to improve the service for the clients, but also the efficiency for the organization that is fundamental. We will complete at the end of this year, the EUR 5 billion investments in upgrading our technology, in isytech, in creation of a platform that can be best-in-class for the future, but it is not enough. First, so we will continue to invest -- in this area, our target is to improve the condition to increase efficiency for the organization. And we started in this presentation to talk about sustainable 20% ROE bank. This is Intesa Sanpaolo and this will remain for the future. So we are a clear utility, cash cow. I don't know how do you -- how do you want to call Intesa Sanpaolo. But for the future, we want to improve the conditions of our profitably, our efficiency through the work that we can do in terms of work with the right balancing between short-term results and the long-term results, because the majority of our investors are institutional investors, pension fund, [indiscernible] all investors, they want to rely on a significant net income and dividend distribution, but forever, not only for the next 6 months. So my job and the job of Intesa Sanpaolo is to create conditions in order to improve our already very high profitability, but working on a significant portion of reserves that we already have in terms of efficiencies and the managerial actions will be used in order to improve this and to create conditions in terms of integration charges in order to be in the best position also to exceed the 20% ROE for the future.
Operator: We will now take our next question. This is from Ignacio Ulargui Lopez from BNP Paribas Exane.
Ignacio Ulargui: I just have two questions. One, you just touched upon a bit on the potential improvement of loan growth in the second half. Is there any chance that you can quantify a bit how the competition has been tracking loan growth potential? And what should we expect in terms of lending growth into the coming quarters? And the second question on the deposit growth. There was a decline in the quarter, part of it explained by wholesale funding being maturing. Could you just elaborate a bit on how customer -- retail customer deposits have evolved? And how should we expect that in the context of health economic growth in Italy.
Carlo Messina: So thank you. Just starting from loan growth and then elaborating on the net interest income and the customer [indiscernible]. So our loan growth, we are in a phase in which today, especially starting from this month, there has been a reduction of pressure in terms of demonstrating just for the sake of marketing that you can have the best position in terms of the loan book growth for the fighting in the M&A world. Today, the conditions are coming to normality, and we are accelerating the loan book work, especially because we want to defend and to improve the markup situation of the organization. Our expectation is to be in a position to grow between 2% and 5% in the second part of the year. So we can maintain a good trend in terms of loan growth. We will see also what could be the implication from real economy point of view of the transaction on tariffs, but my expectation is that at the end, there will be a good driver in terms of growth in Italy coming from the next-generation new funds. And then do not forget that this quarter in Italy is particularly strong usually because the tourism is absolutely accelerating. So there is a very good momentum for our countries. Our expectation is to be in a position to work in a very good way also on the loan book. Coming on net interest income, the wholesale funding is something that we, for the time being, we have no intention to replace. The term -- we have a portion of term deposits that is expiring and our attitude is to convert this term deposit into asset under management and asset under administration products. So reducing the cost of funding and increasing the commissions area. So my expectation is that looking at customer deposits, we should be in a position to have a good trend both in terms of volume and in terms of final contribution to the economic figures of the group.
Operator: We will now take the next question. This is from Andrea Filtri from Mediobanca.
Andrea Filtri: First question, if you could give us some visibility on the EUR 96 million financial component contribution in the quarter in NII? The second question would be on why did you stop giving guidance on your CET1? And allow me a third one, you have clarified you want to stay out of the current massive dynamic in M&A. What would make you change your mind?
Carlo Messina: I will not change my mind Andrea. So the real point and you are working in an organization that is under this crazy word. So you know better than me what does can mean to have this dynamic with a long time. And I have to tell you that our attitude today is to stay absolutely without any kind of involvement and also because we have a significant antitrust problem in the country. So there is also -- there is a condition of style. So I think that what's happening in Italy is absolutely something that I defined Far West, but I don't like what it is happening in the country. And at the same time, I think that the style of Intesa Sanpaolo is completely different compared to what it is happening in our country. The common equity Tier 1 ratio, we decided to change the presentation at this point because you remember that in the last presentation, we talked about 13.7%. In reality, our trend will give us a significantly much higher trend in terms of common equity we generate between 15 and 25 basis points per quarter. And it is likely that we can stay between 13.8% and 14% at the end of the year. The only point of attention in giving guidance is the amount of loan book growth that we can have in the second quarter. So that's the reason why we decided not to give a clear position, because there is uncertainty on the ability of increasing the loan book for the organization. But the trend is there and the increase in terms of common equity will be significant, and so we'll have a further room to make a strategic decision in terms of capital redeployment. But the majority of the point is that, as usual, we prefer not to give guidance in which we cannot be sure to be in a position to reach the target to overdeliver. The real point is there. So my expectation is that we can stay between 13.8% and 14%. This will be depending on the loan growth in -- during the second part of the year. In the financial component, we have a contribution that is coming from the increase in portfolio. So if you look at the figure of Intesa Sanpaolo, you compare the end of 2024 with the final data on the end of March, you have the increase in terms of nominal. Then on average, if you compare the end of March with the end of June, substantially you have more or less the same amount. This has created a condition to have the contribution during the second quarter that we had not during the first quarter. And then there is also something between EUR 10 million and EUR 20 million of contribution coming from nonperforming loans because we usually accrued the unlikely to pay the portion related to nonperforming loans, not in the first quarter, but in the second quarter, but it is really a marginal amount. But this number are in line with what we declared to the market, we have possibility to create a good dynamics between the interest rate on the asset side, the interest rate on the liability side through this very good markets in terms of managing of medium-term cost of funding. But I have to tell you that this can remain a good contributor to results, but we are relying on hedging and medium-term cost of funding reduction and the increase of loan book with a conservative assumption for non-GAAP, there could be the positive surprise for the next 6 months.
Operator: We will now take the next question. This is from Giovanni Razzoli from Deutsche Bank.
Giovanni Razzoli: Two questions on my side. The first one is on the CET1 ratio. You mentioned that you are generating a 15, 20 basis points of capital every quarter, but you still have another 100 basis points of potential benefit from [indiscernible] absorption. I was wondering what is the time frame for the release of this capital? And from here, what do you think is an optimal level of capital for a bank ISP, which has demonstrated a very resilient earnings generation. You are saying that the profitability will remain well above 20% in the -- in the next couple of years regardless of any scenario. So I was wondering from your internal perspective to what level is the optimal CET1 ratio. And the second question is on the impact on the tariffs on Italian corporate clearly 20% market share, more or less on the loans in Italy are a proxy or corporate Italy, can you share with us what is your view about the recently announced agreement with the U.S. State administration on the tariffs, what could be the impact on your asset quality. I'm sure you have done some analysis about the exposure to sectors, which can be impacted by tariffs, if you have kind of sensitivity to share, that would be great.
Carlo Messina: Yes. So I can start from the common equity Tier 1 ratio, then elaborate on the tariffs in which we made the work sector-by-sector on the basis of what we know publicly on the tariff. And so I will share with you also this view. On the common equity Tier 1 ratio, the generation of capital will be significant quarter-by-quarter then we will have 100 basis points DTAs that for the majority will be included in the common equity during the period of the next business plan. So in reality, during the next business plan, we will have the equivalent of a capital increase of 100 basis points that could be available for all our strategic decision in terms of distribution of capital, which shareholder. And so I will move on the level of capital because it is clear that we are creating excess capital through the net income generation, but also through DTA. So we will end -- during the different years of the plan with an increasing excess capital position. The level of capital, I can confirm you is a level that is in the range of 12%. So looking at all different figures, stressing all the different conditions and I think that you will have evidence also in the next stress test results that should be -- that would be out on Friday. I think so in the next days, that our position is absolutely, in my opinion and from my expectation should be confirmed very good. So the point of the capital position is linked with the business model of the organization and the stock of nonperforming loans. And in all these items, we are best practice. We are a company that is devoted to Wealth Management, Protection, Advisory with an amount maximum of nonperforming loans, net of EUR 4.9 billion, so 0 for a bank like us with the coverage ratio that are absolutely very good 50% and with no sign of reduction that the reason why we do not use the reduction of nonperforming loans coverage in order to increase the profitability of the organization. We think that having overlays that are there, Russia exposure very limited. So no portion of overlays diluted to cover the Russia exposure. So we have a substantial real condition that can allow us to stay in a very good position also with 12% or just above 12% common equity Tier 1 ratio. In the next business plan, we will make all the analysis. We will make the confirmation of all this point, and we will remain with a point of attention that is the redeployment of the excess capital of the organization because it is clear that with a trend of profitability above 12% ROE Bank with 100 basis points DTAs, we are unique case in Europe in terms -- and with the business model with very low risk attached with a significant contribution from fee and commission and with the right diversification, we are a unique case in Europe. Looking at tariffs, our analysis of the impact coming from tariffs was based already in our figures, outlook and estimates for a GDP of the Italian economy moving between 0.5% and 0.7% is already made on amount of average tariff of 14%, so it is 50%. So the analysis was made on this basis -- and the confirmation is that the impact is not significant on the figures of the bank. We will remain with the cost of risk at the end of the year, there could be in the range of 30 basis points that could be moved 35 with a portion of deleveraging that we can accelerate if we decide to accelerate. But from a structural point of view, the impact in our view, will be not so significant. So this is our perception, significantly in the sense of having a substantial impact on our figures, and there are sectors that can be impacted. But we are talking about a reduction of revenues for some counterparties. In my expectation, a number of companies will move using the pricing levels if they have high- quality products, otherwise, they will have to make a diversification of their sources of ability to make export outside of Italy. But apart from specific areas, we do not see significant threats coming from this sector due to the very high profitability, the very low level of indebtedness of the company in Italy and the very high level of deposits, placed with the banking sector by all the companies in Italy.
Operator: We will now take the next question. This is from Britta Schmidt from Autonomous Research.
Britta Schmidt: Yes. A couple of questions from me. Two follow-ups on the NII. How should we look at the progression in terms of the next couple of quarters? Would you expect net interest income to increase sequentially in Q3 and Q4 and the increase in '26 going on an annualized Q4 level. The other question on what I need to think on the balance sheet trends is with the expectation of some loan growth, would you expect deposit growth to trend in line since if you are looking to convert some of the deposits into AUMs in the future, does it mean you have to increase your wholesale issuance? Or do you think you can compensate that with nominal deposit growth and then just lastly, maybe you can share a little bit your thoughts in terms of what's going on in the market with all of the M&A that we're seeing in Italy. Can you provide any color on what is happening with regards to investment banking and financial adviser hiring? Have you witnessed any movements or have you been able to benefit from any movements or in terms of staffing or client move?
Carlo Messina: So I will start from the third question. And I made a clear statement at the beginning of this [indiscernible] M&A in Italy that we will not -- at the timing, I clearly said, we will not participate, but we are in a condition to increase our market share through the hiring of people from other companies. And -- this is what the reality has happened, especially in the sector of private banking, wealth management and Fideuram. So we need a campaign of acquisition of people that will not like to stay with medium-sized bank and want to remain in AAA perceived company by the clients. So that's something that has important portion of this is in our net inflows in this quarter, and we will continue during the next quarters due to the fact that this unbelievable Far West Saga will continue also in the next months. So that's on M&A. The second point is on loan growth, deposit growth, loan growth will continue. That's our expectation, as I told clearly with an amount that in terms of percentage is not so significant, but will continue between 2% and 5%. In terms of deposit growth, we will continue to have an increase in terms of deposits. So we have no need to go into the wholesale market from just to finance the loan book for the next 6 months. And in the future, obviously, we will continue to have a funding plan because the organization has, by definition, a funding plan, but there's no need to use wholesale funding to increase the loan book side in the organization. In the trend of net interest income, for sure, we will have a growth in 2026, and that's for sure. In the next quarters, this will depend by the mix between the security portfolio and the net interest income, but our expectation is there could be a slight reduction during the third quarter and an increase during the fourth quarter. More or less, this should be a trend. But believe me, it is not easy to make a forecast on a quarterly trend. In the next 6 months, the performance will be very good and will bring us to have a well above final point in comparison with the 2023 figures.
Operator: We will now take the next question. This is from Andrea Lisi from Equita.
Andrea Lisi: The first one is on -- if you can quantify for us an idea of the amount of annualized capital gain that you have in your portfolio? And how do you plan to manage them and also considering the trade-off between NII and trading, the second question is on the managerial action in the fourth quarter. Last year, we have seen a significant kind and significant one rating that involved potentially lots of people voluntary exits and people leaving the company just before the normal age of retirement. So -- just to have an idea if there is a still large room to make actions like the ones that you have made last year?
Carlo Messina: So we do not give figures on the capital gains, but there are room for further capital gain in our portfolio. But our expectation is that we will continue to maintain a contribution from net interest income and in trading income will not move a significant portion of net interest income deriving from security portfolio. In any case, we will continue to have a trend also in trading, but we will see the speed during the further 2 quarters. In terms of managerial actions, the areas are obviously mainly concentrated on the cost side. There will be a write-off of portion of the IT system procedures. Do not forget that we are entering into the isytech world and in the isytech world, we will have the possibility to have a significant cost reduction through the usage of the cloud and so a portion -- a significant portion of the maintenance in cost, the areas in which we had a procedure related with mainframe can be analyzed in order to make a write-off before maintaining all the system on the cloud. So there's a portion of potential usage of managerial action. Then we have a number of people that we decided not to allow in terms of exit from the organization. So they have asked during the previous agreement with the trade unions to leave the organization, and we were not in a position to accept their willingness to go outside the organization. We will evaluate this. Obviously, we will involve also the trade unions in this process if this process will be something in which we will decide that could be the right way to move, but it could be voluntary, and we have already people that asked to leave the organization in the previous agreement. So there are a number of areas in which we have possibility to create conditions to improve profitability for the future organization without any social impact maintaining our people happy to stay or to leave the organization. At the same time, the isytech platform is the real big potential cost reduction that we will have during the next business plan.
Operator: And the last question today is from Ignacio Cerezo from UBS.
Ignacio Cerezo Olmos: I have one actually. So it's around the upfront fee and the market fees. So billing and placement of securities is another very strong quarter, EUR 360 million, only a small decline from a very high base in Q1. So if you can give us a breakdown of that number, and if you can let us know actually how sustainable you think that number is into the future?
Carlo Messina: Yes. These commissions are a mix between very good performance in terms of gross inflows coming from our clients. And remember, with a portion of the month of April that was affected by the conditions of the tariff coming from the U.S.A. and so the dynamics of volatility of the market. This is part of a job in which we have already and all the people in the field of the organization have the clear capital gain position of our clients in moving their portfolio that is the real point of strength of Intesa Sanpaolo. . And this, in our expectation, will continue at this trend. We had some marginal reduction in terms of placement of bonds, third- party bonds, including the BTP bonds because during this quarter, the number of issuance was lower than in the first quarter, but our expectation is also to have a rebound also in this line. So gross inflows, net inflows in this area of placing are the main drivers of this component of our economic figures.
Operator: There are no further questions at this time. So I would like to hand the call back to Mr. Messina for any closing comments.
Carlo Messina: So thank you very much for your continued support. I want just to finish with the title of our presentation, we are a sustainable 20% ROE bank with EUR 1.4 trillion in customer financial assets. So thank you very much, [indiscernible] -- thank you.
Operator: Thank you. This concludes today's conference call. Thank you for participating, and you may now disconnect.